Operator: Good morning everyone, and welcome to the Superior Uniform Group’s Conference Call to discuss the Company’s Fiscal Third Quarter 2014 Financial Results. With us today are Mr. Michael Benstock, Chief Executive Officer of Superior Uniform Group and Mr. Andrew D. Demott, Chief Financial Officer. After the speakers’ opening remarks, there will be a question-and-answer period and instructions to ask a question will be given at that time. This call is being recorded and your participation implies consent to the recording of this call. If you do not agree to these terms, simply drop off the line. I would now like to turn the conference call over to Hala Elsherbini, Senior Vice President of Halliburton Investor Relations who will read the Safe Harbor statement. Please go ahead.
Hala Elsherbini: Thank you and good afternoon, everyone. This conference call will contain forward-looking statements about Superior Uniform Group’s business opportunities and its anticipated results of operations. Please bear in mind that forward-looking information is subject to many risks and uncertainties and actual results may differ from what in here today. Many of these risks and uncertainties are described in Superior Uniform Group’s Annual Report on Form 10-K for the year ended December 31, 2013. In the new release that published this morning and in the Company’s other filings with the SEC. Forward-looking statements in this conference call are based on our current expectations and beliefs. Management does not undertake any duty to update any of the forward-looking statements made during this conference call or otherwise. Please note that all growth comparisons that management makes on today’s call will relate to the corresponding period of last year unless otherwise noted. With that, I will now turn the call over to Michael.
Michael Benstock: Thank you, Hala and good morning everyone. We are pleased you could join us, learn more about Superior Uniform Group’s third quarter and nine-month performance. Here’s what we’ll cover today. I’ll start with some financial highlights for the quarter which ended September 30. Then I’ll provide some perspective on our progress in executing our growth strategies in both our operating segments followed by the industry trends that we see affecting our performance. Next, Andy will give you some color on the story behind our financial results for the three months and for the nine months. Finally I’ll return with our general outlook on the fourth quarter after which we’ll be ready to answer your questions. Let’s begin with some quarterly highlights. This was a record third quarter from a revenue and earnings standpoint. It also was the second highest quarterly performance in our 94-year history exceeded only by this year’s second quarter. Both our uniform and related products in the Remote Staffing Solutions segments posted better than expected increases. As a result, revenue grows by 18.3% to $52.3 million compared with $44.2 million for last year’s third quarter. HPI Direct has proven to the pivotal acquisition for us. We completed this acquisition on July 1, 2013 and as such its results are included in the current and prior year quarters. Therefore, all of our net sales growth in the current is organic. Taking a closer look at the two segments, our uniform business which includes the Fashion Seal Healthcare, HPI Direct and Superior ID brands saw 17.5% higher revenue with HPI reporting an impressive 59.3% increase. We continue to expand our relationship with current customers obtaining higher sales from 24 of our top 30 customers. Remote Staffing Solutions, is our call center and BPO operation while still a small part of our overall sales continue to post phenomenal top-line growth, up by 42.6% from last year’s third quarter. This reflected the inroads we’re making and penetrating new markets as well as increasing sales to existing customers For the total company, the combination of leveraging our fixed cost across higher sales volumes and continued cost efficiencies enabled us to more than double our bottom line. Net earnings rose by 123% and earnings per diluted share grew by 100%, despite a 9% increase in average shares outstanding. Andy of course will give you more details on the numbers and other key performance metrics in the few minutes. We executed very well in many fronts and I would characterize this as another epic quarter. This is due to the long-term growth strategies we have in place for both operating segments. We’re executing on four major growth strategies in our uniform-related product segment. First, we are very focused on deepening our market penetration in healthcare and non-healthcare industries. The best way to describe our approach to the healthcare market is to look at it as though it’s a tree with the number branches. We’ve done a great job today of reaching markets with low hanging fruit in all sales channels. We are penetrating our existing customer base through our dealer network where we have geographic support as well as via healthcare laundries because these are areas that have traditionally served us well. We also moving towards the higher branches and widening our channel pipeline to include integrated delivery networks which represent large healthcare systems, Group Purchasing Organizations or as they’re know GPOs, home healthcare, long term healthcare chain and medical colleges and even some large single standing hospitals. We expect considerable lift from all these markets over the coming years as we have quickly become more relevant as a direct supplier to these markets. We continue to elevate our Fashion Seal Healthcare brand through various marketing initiatives in addition to positioning ourselves as experts in global sourcing. We truly offer a unique value proposition, scalable and customizable. Current and potential customers appreciate that we offer the broadest uniform product line in the industry have an excellent garment sourcing network and a growing promotional product business which helps to make us a one stop source for all their brand in needs. On the non-healthcare side, the combined strength of HPI Direct and Superior ID or what we also refer to as a our Employee ID brands provide uniforms to a number of growing customer facing areas, food service, transportation, private security and chain store businesses. With HPI’s leadership for growth in these marketplaces we are gaining more customer wins and servicing more recurring business with long standing customers. We’ve anchored a really solid competitive position in these with these customers and in these markets and we are more of a force than ever to be reckon with. Our second growth strategy in uniforms global sourcing is really paying off. We’ve deepened our sourcing strategies and are building relationships with manufacturing sources in parts of the world that offer the best value and delivery while meeting the high standard of quality and social responsibility that we require. We’ve also hired additional talent to better manage costs and validate our multi-supplier strategy. Third, our promotional products business pipeline remained strong. This is a seamless and natural extension of our branding activities with customers offering them a single source provider for their full image programs. We will continue to scale this business through acquisitions as well as through organic growth initiatives. And fourth, we continue to seek acquisitions with high growth potential. HPI is a prime example of our building to identify, execute integrate companies that provide a significantly contribution to our top and bottom lines. Our Chairman-Emeritus, Gerald Benstock is heading the process of identifying strategic acquisition opportunities that strengthen areas we already serve and diversify our portfolio that wouldn’t make sense. For example, we consider companies that give us critical mass to move to the next level in the geographic market or create new relationships for us or add products that are [logical] extension of our business as targets. The goal is to become a one stop source for our customer’s uniform and branding materials which increased the barriers to exist. Now let’s move on to Remote Staffing Solutions. As you know, this serves as our own backlog as operation in addition to servicing outside customers making solid economies of scale. We’re finding a niche in servicing customers, requiring support for more for less than 100 seats in addition to customizing needs for larger opportunities. As we mentioned last quarter we are investing capacity expansion to our El Salvador location. We purchase a land. We secured permits and expect to complete a new facility later next year. It will ultimately help an additional 500 employees. We will essentially double our current staffing levels for our Remote Staffing Solutions over the next three to five years across all of our locations which include our call centers in Belize and here in Seminole, Florida at our headquarters. The growth of that business has been exceedingly positive with sales increasing at rates greater than 40% for each of the last eight quarters. All of these growth strategies are supported by three positive market trends. The macroeconomic environment is improving. More customers are telling us that low levels of unemployment and greater confidence in the job market are beginning to trigger an increase in employee turnover. People work in hospitals, food service, private security and other chain businesses are starting to leave one job for the next. Employer’s looking for ways to improve employee satisfaction so that they hold on to good people. We expect this will result in more money being allocated branding with uniforms being a key component to that effort. A strong economy is also is creating more optimism in our customer base. Many of them are opening new stores, expanding their businesses and going to refreshes and re-branding. These factors also translate into continued demand for our products. Additionally, as result to the Affordable Care Act more individual are compelling with mandates to buy health insurance and we expect to see more Americans obtaining healthcare by year end in order to avoid well known tax penalties. This should continue to drive demand for employment in the healthcare industry. Finally the healthcare industry in consolidating and part of attracting patients and employees into branding initiatives that served to heighten patient’s satisfactions and portraits security and safety throughout the continuum of care. With that, I’ll now turn the call over to Andy for the financial review.
Andrew Demott: Thank you, Michael, and good morning everyone. As you can see all of the growth strategies that Michael discussed led to another phenomenal quarter from the financial performance perspective. Since our press release is available on our website and our 10-Q was issued this morning, I’ll provide some commentary around some of our key financial factors in this quarter. Let’s take a closer look, starting with the income statement for the third quarter. Net sales increased 18.3% for the latest three months, net sales revenues to $52.3 million from $44.2 million a year ago. Third quarter results include HPI’s results for both the current quarter and the prior year period and thus our top-line increase this quarter is attributable two organic. The uniforms and related product segment contributed 17% of the overall sales increase, the Remote Staffing Solutions adding the remaining 1.3%. Our uniforms and related product sales were up, 17.5% of the last year’s third quarter. As Michael indicated, HPI delivered a remarkable quarter of 59.3% higher net sales. This reflects a success of our continued market penetration. Our Remote Staffing Solutions saw quarterly sales rise 42.6% from a year ago as they continue to sign significant new accounts. Cost of goods sold actually decreased with the percentage of sales to 64.7% or $33.9 million from 66% or $29.1 million at this time last year. Two major reasons for this were higher sales volume to cover overhead and lower direct purchasing costs due to better product sourcing efforts. This led to an improvement in gross margins to 35.3% for the latest quarter compared to 34% a year ago. Selling and administrative expenses continue to increase at a fraction of the sales rate. They rose 2.4% from a year ago to $13.1 million. As a percent of net sales SG&A drop to 25.1% compared with 29% in the 2013 quarter, this reflects the gain we have seen from leveraging our fixed cost and benefiting from economies of scale. Interest expense increased 51.6% to $144,000 reflecting higher average borrowings for the quarter. Note that we have paid down our outstanding balance on our revolver as of the end of the quarter from a balance of $11.4 million at the end of the second quarter to zero. Our income from operations climbed to 142.9% to $5.2 million. That will let our operating margins to more than double at 9.9% compared with 4.8% for last year’s third quarter. Our effective tax rate rose to 34.8% from 29.1% a year ago. The main difference was an increase in our state tax rate and a decrease in the benefit for income from foreign operations. As a reminder, our earnings in El Salvador and Belize are considered to be permanently reinvested there and we pay minimal tax within those countries. That means, there is no U.S. tax provision for those earnings. Because of significant increase in our domestic income in the latest quarter, our foreign income is now much smaller percentage of our total earnings. The bottom line effect resulted in a 123.3% jump in net income for the quarter to $3.4 million. On the diluted per share basis we doubled our earnings to $0.48. This includes the impact of the 9.3% increase in average shares outstanding. The increase in shares came from additional restricted share related both to the HPI acquisition and the impact of increased option exercises over the last year. And the recognition of confidence in Superior Uniform’s continuing growth and the Board our increased our quarterly dividend by 11% during the third quarter to $0.15 cents per share from 13.5% -- $0.135 per share. I’ve note, we paid annual dividend each year since 1977. And look at our income statement for the nine months. Our net sales grew 38.2% to $146.5 million, the biggest difference came from the inclusion of HPI for the full year compared with first nine months 2013, revenues from uniforms and related products increased 37.9% and Remote Staffing Solutions expanded 45.9%. Our growth margin was 35.1% versus 35.4% for the first nine months last year. This change reflect the competitive pressure in the market earlier this year which was slightly offset by lower overhead as percentage of sales from higher sales volumes. Operating income increased to 172.2%, $12.9 million, our operating margin for nine months were 8.8% compared with 5.6% a year ago. Net income year-to-date more than double to $8.5 million and diluted earnings per shares rose at a significant rate of 85% to a $1.24 share. Now we look at our balance sheet, cash and cash equivalents at $3 million. Our account receivables increased to $29.7 million, growing 30.6% in tandem with our higher sales. This also was true for inventories which was 12% to $55.4 million. Our long-term debt decrease 7.1% to $22.8 million and shareholders’ equity expanded 12.5% to $80.9 million. Now I’ll turn the call back to Michael to share his perspective on the fourth and provide some closing remarks.
Michael Benstock: Thanks, Andy. On our last call we told you that Superior Uniform Group have a strong second half. We’re really are very proud of our third quarter results and we expect the solid finish to what really has been a transformational and credible year thus far for the company. While we don’t provide specific guidance, here’s what we’re seeing in general for the final quarter. Mid-term elections are not proving to be much of a distraction on purchasing decision to-date to which we’re grateful. The same is true for the current volatility in the Middle East and the rising concern about the Ebola virus. However, these situations may affect the confidence on the economy and some of our customers, so we continue to watch them closely. Historically, we’ve done a good job managing market risk. These are the range from the cotton crisis to earthquakes, to multiple recessions. We are able to do this by controlling costs and maintaining operating efficiencies throughout by automated distribution systems, redundant manufacturing strategies and employing remanufacturing projects as well as having a flat organizational structure. Our new business pipeline is solid and both uniforms and Remote Staffing Solutions as we continue to develop significant near-term contract opportunities. With that, I’d like to open the call for Q&A.
Operator: We will now begin the question-and-answer session. (Operator Instructions). There are no questions at this time.
Michael Benstock: Okay. If there are no questions at this time – I was hoping that I’d get one or two or some thoughts from some of you, but I’d like to leave you with some final thoughts. Superior Uniform Group is a long-term company. We’ve been around a long time and truly when you look at us you have to consider that we have learned the tricks. We’re able to report some of the best quarters in the history of our company, because we evolve and transform the business model.
Andrew Demott: There is a question.
Michael Benstock: And there is a question. Go ahead let take the question and I’ll complete my remarks afterwards.
Operator: We did have a question but it looks like he left the queue.
Michael Benstock: Okay. In creating some of the best quarters in the history of the company and transforming company as we have, you wonder, how do you accomplish that? But really that was accomplish through making some really hard decisions over the years, these past years of existing unprofitable operations that prove less accretive to meet our goals. We now operate two businesses that are diverse yet leverage the fundamental strength of our business model based on an efficient cost and structure. And both yield very, very good margins. We operate low overhead and high upside potential. Both businesses are growing organically by taking share from competitors and deepening relationships with our customers. We’re also expanding through acquisitions to leverage synergies and entering new geographic and product markets. We continue reinvest in our operations that would drive future growth and deliver meaningful bottom line results in order to create long term value for our shareholders. I believe the company has never been in better financial shape and we have the right team in place to continue to execute on our growth strategies. Andy and I thank you for taking the time to be with today. We look forward to sharing results of our fourth quarter and full year with you in February. In the meantime, we wish a profitable end to your year and an enjoyable holiday season.
Operator: The conference is now concluded. Thank you for attending for today’s presentation. You may now disconnect.